Operator: Good day, everyone, and welcome to EXFO's Second Quarter Conference Call for Fiscal 2021. Today's call is being recorded. At this time, I would like to turn the conference over to Vance Oliver, Director of Investor Relations. Please go ahead, sir.
Vance Oliver: Good afternoon, and welcome to EXFO's second quarter conference call for fiscal 2021. With me on the line today are Philippe Morin, EXFO's Chief Executive Officer; and Pierre Plamondon, CFO and Vice President of Finance. Germain Lamonde, EXFO's Founder and Executive Chairman, will also be available to answer questions during the Q&A period. A reminder that this conference call will include certain forward-looking statements and/or estimates concerning our intents, beliefs, or expectations regarding future events that may affect EXFO. Please note that such comments will be affected by risks and/or uncertainties, including the impact of the coronavirus pandemic on our employees, customers and global operations. This may cause the actual results of the company to be materially different from those expressed or implied today. For more information about EXFO, I encourage you to review our Form 20-F filed with the Securities and Exchange Commission. Our Annual Information Form is available with the Canadian Securities Commissions as well. Please note, that non-IFRS numbers may be used during this conference call today. A reconciliation of these non-IFRS results with IFRS numbers is available in the Q2 2021 news release on our website. All dollar amounts in this conference call are expressed in U.S. dollars unless otherwise indicated. So without further delay, I will turn the call over to Philippe.
Philippe Morin: Thanks, Vance and good afternoon. EXFO delivered another solid financial performance in our second quarter of 2021 highlighted by robust bookings growth of 8.9%, productivity [ph] ratio of 1.15, and strong cash flows from operations at $14.7 million. I'm particularly pleased with our strong bookings in the second quarter that reflect increased market demand driven by catch up spending and early deployment of 5G cloud based networks. As for our customers, the communication service providers get a better handle on transforming their networks during the coronavirus pandemic. Recent success in securing multi-year contracts bodes well for the expanding footprint of Nova Adaptive Service Assurance platform as the growing number of RFPs for 5G standalone network monitoring systems are expected in 2021 and beyond. So overall, our sales increased 25.2% year-over-year to $16.3 million in our second quarter of 2021. But it should be recalled that the initial outbreak of the pandemic had forced a one month shutdown of our manufacturing facility in China a year ago in February 2020. Turning to the bottom line, IFRS net loss totaled $2.4 million; our adjusted EBITDA amounted to $3.4 million or 4.9% of sales. At the halfway mark of our fiscal year 2021, EXFO generated IFRS net earnings of $1.1 million or $0.02 per share, and adjusted EBITDA of $13.4 million or 9.5% of our sales. While as returning to our -- looking at our product lines; in terms of our test and measurement got in line for us [ph]. Revenues grew by 36.8% year-over-year, again reflecting the one month shutdown of our manufacturing facility in China in Q2 2020; that does distort year-over-year comparisons. But TNM bookings grew by 3.2% year-over-year, mainly due to increased fiber deployments by communication service providers to support broadband network expansion. EXFO has also benefited from earlier budget releases by some service providers in calendar 2021 which has positively affected our TNM booking. Deciding the ban [ph], mainly driven by catch-up spending from delayed projects was partially offset by reduced investments by their network equipment manufacturers for our lab solutions in Asia PAC region. It should be noted that initial coronavirus outbreak in February 2020 had little impact on our test and measurement bookings in our Q2 2020. So, the TNM orders began to significantly drop in our third quarter of 2020 as preventive lockdown measures were imposed in several countries. So as such, we can state that our TNM bookings are gradually returning to a pre-pandemic level with good growth opportunities in the second half of our fiscal 2021 given anticipated investments in fiber deployments, 5G infrastructure and data center connectivity. Now, turning to service assurance systems and services business. On the first slide, our revenues decreased 2.1% year-over-year while bookings improved 20.6% to $25.3 million in the second quarter of 2021. This strong bookings growth can be attributed to recent wins for our Nova Fiber monitoring solution to increase traction of our Nova SensAI troubleshooting solution, and as well from the solid support contract renewals. Now if you recall, we announced a major fiber monitoring deal with Openreach with [indiscernible] British Telecom in early January. The good news is that Openreach recently confirmed that it will move ahead with it's plan to pass 20 million homes, 20 million premises with fiber by mid-2025. As a result, EXFO will benefit from this multi-million dual source fiber monitoring deal with Openreach. While the momentum in the second quarter of 2021 also intensified for Nova SensAI or our automated troubleshooting solution that detects network anomalies in real-time. Nova SensAI is attracting customer's interest because this solution shuns Big Data swamps in favor of highly specific information and prioritize insights to reveal network outages and service degradation. Ultimately, Nova SensAI with it's built-in machine learning capabilities combined with other solutions like Nova Active, help service providers improve subscriber experience and faster troubleshooting times as highlighted by the $2.5 million bookings this quarter with a European service provider. Finally, EXFO's Nova Adaptive Service Assurance platform has been selected after the RFP process to enter the lab evaluation stage for a potential large scale 5G monitoring deal. At this point, we have secured a $2 million order to undergo via lab evaluation, and we're doing this in partnership with a tier one network system vendor for prospective 5G standalone cloud-based network deployment in the United States. So now, I will turn the call over to Pierre to cover our financials. Pierre?
Pierre Plamondon: Thank you, Philippe. Good afternoon, everybody. Sending [ph] 325.2% to $69.3 million in the second quarter of 2021 from $55.3 million in the second quarter of 2020; as previously mentioned, it's an increase year-over-year, mainly due to the initial impact of the COVID-19 outbreak that forced a one month shutdown of EXFO manufacturing facility in Shenzhen, China in February 2020. Bookings meanwhile improved 8.9% year-over-year to $79.3 million in the second quarter of 2021 for a book-to-bill ratio of 1.15. Gross margin before depreciation and amortization reached 56.1% of sales in the second quarter of 2021 compared to 57% in the second quarter of 2020. Our gross margin in the second quarter of 2021 was affected by a less favorable sales mix compared to the same period last year as we recognizing to renew less software rich solutions in Q2 2021. In terms of operating expenses, selling and administrative expenses decreased to $22.9 million, or 33.1% of sales in the second quarter of 2021 from $24.3 million or 44% of sales in the second quarter of 2020. The $1.4 million decrease in SG&A expenses that reflects lower travel and tradeshow expenses due to the pandemic and the full impact of our 2020 restructuring plan. Net R&D expenses increased to $13.5 million or 19.6% of sales in the second quarter of 2021 from $12.6 million or 22.7% of sale in the same period last year. The $1 million increase in net R&D expenses in mainly related to some hiring's and the annual salary raises and the mix of R&D projects. IFRS net loss totaled $2.4 million or minus $0.04 per share in the single quarter of 2021 compared to a loss of $9 million or minus $0.16 per share in the COVID impacted second quarter of 2020. IFRS - non-IFRS [ph] net loss in the second quarter of 2021 included $2 million in amortization of intangible assets, $1 million in stock-based compensation costs, $0.1 million in foreign exchange loss and an income tax effect on these item of $0.3 million. Net loss also included $0.3 million for in after-tax wage subsidy granted by the [indiscernible] government to help company mitigate the effects of the pandemic, as well a $0.7 million for the negative goodwill recorded following the acquisition of InOpticals. Adjusted EBITDA amounted to $3.4 million, or 4.9% of sales in the second quarter of 2021 compared to minus $4.9 million or minus 8.9% of sales in the COVID impacted second quarter of 2020. Geographically, the Americas accounted for 48% of totals in Q2 '21, Europe, the Middle East and Africa represented 38%, while Asia Pacific totaled 14%. In terms of customer mix our top customer accounted for 6.8% of total sales in Q2 '21, while our Top 3 represented 14.3%. Turning to a few key points on the balance sheet; our cash position increased by $7.8 million to $24.3 million at the end of the second quarter of 2021. This increase is mainly due to $14.7 million in cash flow from operations and $0.8 million in cash acquired from the InOptical transaction. These items were partially offset by $5.4 million from the reduction in our bank loans, $1.4 million from the repayment of lease liabilities and long-term debts, and the $1.2 million from depreciation [ph] of capital assets. At the end of Q2 '21, EXFO added net cash position of $10.2 million and available revolving credit facilities upto $68.3 million until May '21 and to $52.5 million thereafter. At this point, I would turn the call over to the operator from the start of the Q&A.
Operator: Thank you. [Operator Instructions] And first, we'll go to Thanos Moschopoulos from BMO. Your line is open.
Thanos Moschopoulos: Hi, good afternoon. I guess to start with on the tier one 5G trial; I guess, first of all, congratulations on making it to the lab evaluation phase. And secondly, any sense you can provide us in terms of the timing for that customer to make a decision?
Philippe Morin: So -- thanks, Thanos. So, yes -- so the lab evaluation is a pretty complex and lengthy progress; so we do expect that the next phase should happen in our fiscal -- before the end of our fiscal year. So -- but again, you know, it's -- we'll see how lengthy it gets. But we're hoping that by the time we get into the summer, we'll get to the next phase.
Thanos Moschopoulos: And you mentioned Openreach dual source, and I realized that's not a 5G deployment; but as far as the 5G operators you're talking to are some of those looking to dual source or are those primarily leasing situations [ph]?
Philippe Morin: Thanos, it really depends on type of our business here. You know, when you look at fiber monitoring, it does involve -- because it's got a portion of hardware and software solution, you can ultimately -- especially with the size of millions of homes that Openreach is looking at, it does allow them to go and do a dual source supply strategy. But as you move into more into 5G standalone cloud native kind of solutions where you cover the whole core network end-to-end services, and you look at the upgrade from going to 4G to 5G in a lot of these cases, it tends to be more single source because it's easier to imagine providing that end-to-end visibility, and helping you troubleshoot when you have that single source model.
Thanos Moschopoulos: And I don't know if you can provide any color on size but just hypothetically, might this 5G deal be kind of similar in size to say the Openreach deal? Or is that the right way to think about it or anything or any comments on that?
Philippe Morin: Yes, I think -- you know, what -- when you look at what I just kind of provided in my remarks, we've got three -- we got the Openreach win which is -- with fiber monitoring, we've got the SensAI with European customer, and now this one. They tend to really be more multi-year, multi-million of dollars but on this one in particular, it's still too early to tell, there is still a lot of variables and lot of work to be done but they tend to be following the same kind of pattern that we've presented in the past, that they tend to be contracts between three to five years, been to have multi-million aspect of it. And obviously, depending on the size of the customer, the number of substantial -- subscribers, especially now if you're start to thinking about 5G and IoT, the type of coverage you need, and that will kind of dictate the opportunity. And it's going to be -- and on top of that, as you know, Thanos, we always get maintenance contract renewal. So, we'll be able to get a better view as we continue to evolve and work this this lab evaluation that we're -- that we've embarked to in this quarter.
Thanos Moschopoulos: Okay, great. And I guess we'll be focusing on maybe just the shorter term dynamics of the business. Has visibility improved relative to the last three months would you say? Or are things starting to look a bit more predictable in terms of customer behavior shorter term or how would you characterize that?
Philippe Morin: Yes. I think -- you know, for me, the -- when we thought we were going to start getting better visibility. And as I mentioned in my remarks, we're now starting to see TNM being back to the levels before pre-pandemic; now we're seeing the third wave coming in and -- you know, really -- getting us to a point where we need to really be careful about what will be the impact of that. There is also the aspect of supply, I think you -- everybody who is reading about the whole supply chain, that's something that we're very, very closely watching; we've got long-term relationship with our suppliers but when we see the demand that's taking place and then some of the constraints that we're seeing on the supply chain in other sectors, that's another aspect that we want to be really closely watching as we go through that. So, you know, it's -- I'll give you an example, even in Q2 we ended up getting bookings bit stronger than we anticipated on the TNM side. So, part of that pent-up demand and the need for -- to recover on the last few months of last year had a positive impact on our bookings. And so, that all aspect makes it a bit more predictable for us to look at our plan for the next six months.
Thanos Moschopoulos: Okay, that's great. Thanks, that's all I have [ph].
Operator: And next, we'll go to Robert Young from Canaccord Genuity. Your line is open.
Robert Young: Hi, good evening. Maybe I'll just ask about the supply chain that you just brought up there; I assume that's ship -- shortages that we're hearing about. How would that manifest in your results if they get worse from here? Is this going to be a headwind to your gross margins? Will it limit your ability to generate revenue? Where should we think about that as being an impact?
Philippe Morin: Yes, no -- so it's a good question, Robert. So the -- obviously on the SaaS side -- we're being predominantly a software business there is no real impact there. More on the TNM side, and I think for us it would be more around probably seeing more longer lead times on components which could ultimately have an impact in terms of shipping equipment. At this point, we don't see any issue but we wanted to just make sure that we're obviously spending much more time with our suppliers to make sure that we're not being impacted as we're seeing in other industries. But so far, we've been able to manage around what we're seeing right now.
Robert Young: Okay. And then, the TNM strength; I mean last couple of quarters or last quarter, I believe you've said that some of the maintenance and operational sort of spend was pushing out some longer term projects. Is that still what's driving TNM here? I think you talked about some fiber deployment or are you seeing this more transform into longer term projects? I understand some of the 5G upside is still farther out but are you seeing that improve towards longer term projects?
Philippe Morin: Yes. No, I think for this quarter particular on the TNM strength, we did see some pent-up demand because if you recall our previous results, we've seen really -- when the pandemic -- the TNM, especially what we call the physical business or the OTDR is the type of instruments that field technicians use; got impacted by the pandemic, and the lockdown and so on. And what we're now seeing gradually is that business is coming on, and it came on really strong in our Q2, and so -- and we do it, so the question is, is that going to continue or is it really a pent-up demand? So we're really seeing that catching up where I think people fell behind because of the pandemic. And as a service provider, adapted to this new environment; we've been able to now to make decisions on purchase -- procurement of our test and measurement solutions. So that's where we've seen the impact on our strength at our TNM, and that's why we're seeing almost $54 million of bookings. And then SaaS had a strong performance. On the SaaS side, as I mentioned it's -- we're seeing some really nice traction on fiber monitoring, some nice traction on SensAI. And Q2 by seasonality effect it also represents a quarter where we do a lot of maintenance contract renewals which we did a good job of securing out in our quarter.
Robert Young: Okay, okay. That's great color. Maybe two more questions, if I could. Just the -- you talked about strong RFP trends. You said the RFP trends were strong last quarter as well; has it gotten better or worse? Is it -- are you more confident this quarter than last quarter? Or maybe if you could give us a quarter-over-quarter view on the RFP trends, that would be helpful.
Philippe Morin: Yes. The activity on 5G standalone are continuing to be strong. We're very busy responding to RFPs, and you see the result on one of them that along with our partner, we're rolling into a deployment -- but into our labs with potential deployment in Americas. So we're starting to see that it's still mainly driven out of where we see most of the activities are in Americas, but we're now starting to see Europe starting to come pretty active as well on 5G, and there is lot of important [ph] 5G on transition there. So, I do think that in terms of revenue impact, this is going to be again -- as I mentioned, more until 2022 but the activities; as an example, we're very happy to see that for lab evaluation we're getting our customers to pay for those. And ultimately, I think it bodes well with the traction we're seeing, with the wind we're seeing, that I think we can really continue to expand our footprint. As I mentioned in the last quarter, for SaaS it's all about a footprint game; you've got to win those contract initially, they tend to bring professional services at the beginning so that you can do the integration. But once you're in the network, there are multi-year contracts, and it allows you to expand, allows you to bring other tests and other monitoring capability. With 5G standalone as you know, we're going to go into network slicing, which will then allow us to go and upgrade what we're doing. So, really important for us to continue to get the wins and secure these contracts that we've highlighted so far, and continue to get into these lab evaluations as the RFPs go to the next stage.
Robert Young: Right. And you've brought it up a couple of times already with the standalone 5G deployment. I mean, when I think of that I think if that is something that's the next stage as opposed to something that's really driving anything right now. Is there -- are there actually any deployments around standalone that you're seeing now or is that something -- that's a 2022, 2023 opportunity? Are there any closer term 5G opportunities that you see?
Philippe Morin: Yes. No, I think we'll see -- the volume are really kicking in 2022 Robert as I mentioned. But we are starting to see some customers taking the lead on deploying 5G standalone starting with their core network, they've all made all their decisions between Nokia, Ericsson, Samsung, Huawei; now they're going through the next phase in order to implement that 5G standalone core, they need our solution to do the monitoring, troubleshooting and service assurance. And that's where we're seeing with the RFPs that are happening now, but in terms of deployment, some deployments in 2001 but really the impact will be more felt in 2022. But we're very happy right now with the progress we're making with the footprint that we're getting with our solutions; so we're just going to continue to do the work, these lab evaluations are long, they are complex but I do think that the rewards are there once you get selected.
Robert Young: Okay, great. Thanks for taking all my questions.
Philippe Morin: Thank you, Robert.
Operator: And next we'll go to Tim Savageaux from Northland. Your line is open.
Tim Savageaux: Hi, good afternoon. I wanted to follow-up on a couple of things. First, your commentary about seeing some early budget releases from your carrier; I'm kind of looking for a little more color there. I assume that's probably focused on the U.S., your top customers, but if you have any other commentary geographically, I'd be interested in hearing that. And to what degree you've sort of seen that momentum continue into the current quarter, fiscal Q3? And then I have a follow-up.
Philippe Morin: Okay. Thanks, Tim. So, yes -- so while it's been interesting for us, again, in the context of the TNM strengths on the bookings, it's been -- that both in America and EMEA, and I would probably say U.S. then the EMEA. What we've seen since this year is as soon as the budget got approved which tends to be in beginning of calendar year, usually what we've seen in the past that takes a bit more time to get the purchase orders to grow and the procurement process to go through; I think because of the pent-up demand of the previous year, what we have actually seen this quarter is as soon as the budget got approved we saw an acceleration and converting those into purchase orders. And as I said, predominantly the U.S., predominately in the EMEA across our customer base.
Tim Savageaux: Great. Sorry, I was on mute there. And then looking a bit farther out, when you see news such as what we saw on Verizon and AT&T, kind of accelerating 5G deployments and likely associated fiber deployment. And as well as AT&T increasing it's target for fiber homes past this year; when would you expect to see the impact of any of that type of activity? It seems more kind of oriented towards the back half of calendar '21 or '22. And would you view that as potential separate catalysts from some of the more -- kind of catch-up oriented demand you're seeing currently?
Philippe Morin: Yes. No, I think so the -- the announcements that Verizon, AT&T and then TEMO [ph] just on the yield of the spectrum auctions. Tim, if you recall, quite frankly, I was a bit nervous with $80 billion going into spectrum, will they -- will the service providers have to step back on their investment. And I was really happy to see that not only we got -- but both Verizon and AT&T have actually decided to increase their CapEx spending. Now, a lot of it will probably go into the 5G deployment, new 5G radio; but we do think that it will potentially continue to really help our fiber business on the TNM side. And then as well, obviously, as these grow more aggressively on the 5G core deployment, we are obviously looking at being -- playing in those accounts with our assurance business or set with our Nova adaptive platform. So for us the question is going to be the timing of the investment. And then, how quickly will they start really ramping up. I do think Verizon, AT&T have been pretty aggressive already on fiber fitted homes in the past, and we've seen some of it -- I'm pretty come into our quarter in terms of their investment and requirement. And part of my comment around investing very quickly, and they got the budget approved. And then, we'll have to see what happens as well now in Europe. I mean, we're starting to see fiber to the home being prioritized. You see the monitoring results -- fiber monitoring results that we're getting is obviously on -- at the heel of Openreach but we've also got nice traction with that solution that has -- they're looking at being a bit more aggressive now on deploying fiber to the home, fiber to the antenna. In Europe, we're -- I think they were a bit behind in some countries.
Tim Savageaux: Great, thanks. And last question for me in this reference is the APAC weakness that you saw, both, sequentially and year-on-year. In the quarter, I think you pointed to some OEM weakness in lab and production; you know, should we associate that with China OEMs or maybe big China OEMs or there are some other dynamics there? And is that a kind of situation you expect to continue?
Philippe Morin: We're always interested with our network -- our manufacturing product. What we've seen Tim is actually good -- very strong traction in both, North America and even in Europe which we haven't seen that much in the past; so both of those regions did really well. But what happened is, predominantly in China where we had a really, really strong quarter in Q2 last year, right during the whole -- beginning of the pandemic, that was really strong performance there in China that did not repeat this quarter. And so, although we've recovered a lot with Europe and Americas, not as much -- we were not able to recover as much of what the decline we've seen in China.
Tim Savageaux: Okay, thanks very much. I'll pass it on.
Philippe Morin: All right. Thank you, Tim.
Operator: And next we'll go to Richard Tse from National Bank Financial. Your line is open.
Richard Tse: Yes, thank you. With respect to the 5G, based on sort of your bookings to date; when would you guys expect to sort of kind of reach this sort of peak level of 5G that in the next two/three years? Like -- just want to get a sense of that.
Philippe Morin: Yes. So Richard, the question is, you got it -- also, you've got to separate between the TNM business and our service assurance business. I think on the TNM side, we're seeing the -- we do believe we're going to see the fiber buildout -- fiber to the antenna, the front haul, the backhaul, that's going to be all the fiberized; that's going to be for many years because of the fact that, they're just going to have to increase the overall front haul and backhaul capacity that 5G brings. And so that's going to be there for -- I think we've had a good cycle there, and I keep using the expression that we're in the first few innings of a baseball game; you're on the TNM side for 5G, especially when you put that context into a global view. And then, the whole discussion around the service assurance; I do think that what we're going to see is the next -- 2021-2022 is when you're going to start seeing these contracts being awarded and they start getting into the deployment. But again, we're even on the first inning there, right; so there is still a lot to go into -- and lots of pitches to take place. And it's a 10-year cycle at least, you know, when you look at how long it took to get the 4G deployed. With 5G we're going to be obviously more important. It's more of a major and online revolution in terms of the network deployment and allows to go with IoT combined new technology like artificial intelligence, start going into private -- private 5G networks being build out. So we're in for many, many years -- I would say at least 10 years of deployment for that 5G, and we're just at the beginning. And then, it will depend by geography. I know I keep repeating, we're seeing the U.S., Japan, Korea, China taking the lead; but then we're going to also see depending on the different economies and countries with deployment phases in place as well.
Richard Tse: Okay. And then, you guys have obviously benefited on the OpEx side. As we kind of look to the other side with hopes that everything finally opens up at one point, would you say that -- sort of on the expense side, you can get back to your pre-COVID run rates or have you kind of identified areas of savings that we're going to be more permanent here going forward? Or just trying to reflect that on a mall going out here in the next year?
Philippe Morin: Well, I guess on the -- you know, we've been very, very prudent and diligent on our spend, obviously, during this period, both on R&D and SG&A; SG&A was obviously reduced because no more traveling, no more conferences and so on. I do think that we will need to go back to traveling again and meeting customers face to face. And so you would expect the SG&A to -- once we get behind this third wave and new vaccinations taking place, [indiscernible] that maybe an increase in SG&A that has to do with traveling and so on. But I do think that there is a bit of a shift there in terms of how we're actually going to continue to engage our customers, I do think that the virtual models -- virtual demos, these big conferences that used to take place, it will be really interesting to see -- not sure we may go back to these type of models, we'll have to see this [indiscernible] there is a bit of noise on the bridge here. But for me, that's where I would say we get a bit more on the spend, we'll ultimately be back into the travel. But I don't believe it's going to be as much as where we used to be pre-COVID.
Richard Tse: Okay. I guess related to that would be sort of a cash flow in the quarter you've got a pretty decent credit facility there. What do you think about sort of capital allocation? Our acquisitions have been -- I would say a contributor here in recent years; what's that environment look like today? And what do you sort of thinking now on that front?
Philippe Morin: Pierre, you want to take that one? Pierre, you're here?
Pierre Plamondon: Yes. Yes, for sure. We caused you to look to any acquisition that remains on the count as well to come in on acquisition. We did close InOptical in December -- last December. We still have enough cash if we want to pursue any other kind of acquisition to complete our product line or even extend some reach. So for me, the capital search is still acceptable to continue to grow through acquisition.
Richard Tse: Okay. Did you guys ever consider like starting to buy back stock, given the stock price here today?
Philippe Morin: This is always an option. We still have our share buyback program in place that we can use if we believe this is the right thing to do to use our cash.
Richard Tse: Okay, great. Thank you.
Operator: And next we'll go to Daniel Chen from TD Securities. Your line is open.
Daniel Chen: Hello. Hi, thanks for taking my question. I've just got one. You mentioned with the SaaS RFP you're working on with -- you're working with a large tier one network vendor to help you work on that. Just wondering about your go-to-market with respect to some of these larger 5G deployments; whether you plan on partnering with more network vendors or whether you continue with your current mix of direct and partnerships? Thanks.
Philippe Morin: Yes. No, I think the strategy for us will be without divulging too much from a good market is that we'll do both. And I think there is really opportunities for us to go direct in certain accounts but there are other accounts that I -- we really feel that going through a partner -- and a strong partner will actually help us get -- and be a successful deployment. So, I think you're going to see us do both, direct and through a partner, depending on the customer type.
Operator: And at this time, I'll turn it back to Philippe Morin for closing remarks.
Philippe Morin: All right. Well, thank you very much. So, just a few key takeaways before we conclude this call today. First, EXFO delivered another solid performance in our second quarter, and based on robust bookings growth of 8.9%, a book to bill at 1.4 -- 1.14, and $79 million of bookings, and as well our cash flow from operations at $14.7 million. Second, our order momentum for our SaaS business is accelerating and continues, and it has accelerated in second quarter with bookings increasing more than 20% year-over-year to $25 million. And then, finally, EXFO's Nova Adaptive Service Assurance platform continues to gain market traction as we're highlighted with recent contract wins and this lab evaluation for this 5G standalone cloud-based monitoring contract and partnership with the tier one network system vendor. So, this concludes our Q2 2021 conference call. And on behalf of the entire EXFO team, I want to thank you very much for joining us today. Thank you.
Operator: And that does conclude our call for today. Thank you for your participation. You may now disconnect.